Operator: Ladies and gentlemen, welcome to the Big Lots’ Q1 2017 Earnings Conference Call. This call is being recorded. During this session, all lines will be muted until the question-and-answer portion of the call. [Operator Instructions] At this time, I would like to introduce today’s first speaker Andy Regrut, Vice President of Investor Relations. Please go ahead.
Andy Regrut: Thanks, Eric, and good morning everyone. Thank you for joining us for our first quarter conference call. With me here today in Columbus are David Campisi, our CEO and President; and Tim Johnson, Executive Vice President, Chief Administrative Officer and Chief Financial Officer. Before we get started I’d like to remind you that any forward-looking statements we make on today’s call involve risk and uncertainties and are subject to our Safe Harbor provisions as stated in our press release and our SEC filings, and that actual results can differ materially from those described in our forward-looking statements. All commentary today is focused on adjusted non-GAAP results. This morning, David will start the call with a few opening comments. TJ will review the financial highlights from the quarter and the outlook for fiscal 2017. And David will complete our prepared remarks before taking your questions. With that, I’ll now turn the call over to David.
David Campisi: Thanks, Andy, and good morning everyone. I am pleased to report record earnings per share for the first quarter despite a very challenging retail environment. Earnings per share increased 40% over last year, and ended above our guidance range. After a slow start in February, our Ownable and Winnable merchandize strategy demonstrated its resiliency by bounding back in March and April, and we are off to a solid start to Q2 in the first three plus weeks of May. From a merchandize category perspective, Soft Home was up low single-digits on top of a 7% increase last year with strength in bath, frames, decorative textile and décor. Congratulations to Martha, Kevin and the entire team as they continued to win with new trend-right merchandise assortments improve through the disciplines of QBFV or Quality, Brand, Fashion and Value. And with higher AURs, during Q2 in June we will be making some space changes to expand window and bath and added frames; all part of our continuous focus on making the space an in-store assortment more productive. Furniture was also up low single digits on top of the 6% increase last year; another good quarter for Robert and the furniture team, overcoming the challenges from delayed income tax refunds during the peak selling period for the industry. We’re expanding furniture as well this summer, in July we will increase space in this Ownable category making room for incremental, sofa/love seat combination and additional matters and a new bedroom set; sharpening the saw to the edit to amplify from our categories in our business. Next to seasonal, comping positive for the quarter on top of 7% increase last year; great job my Mitchell, Steve and the team. As you may recall, near perfect weather contributed to an early sell through of lawn and garden and summer assortments; leaving us low inventory levels as the height of the selling season approached. The team factored this in to our spring ’17 plans and we are well positioned for more months to come as Jennifer decorates and prepares for her outdoor living space. Food was down low singles for the quarter, I am positive on the work which has been done here over the last 12 months. The team has done a very good job analyzing our assortment versus industry bestsellers, and we will kick-off as an NVL reset in June with the goal of further improving consistency on over 400 key SKUs in our offering. Probably the most competitive category out there right now, but the competition is ramping up both new and online pricing always a topic of conversation. Consumable was down low singles in Q1, but I also like what I see coming here down the road. Vendor relationships continue to get better and better as we look for more consistency with product. In fact, this month we completed our expansion of the over the counter medications and nutritional supplements with the new national brand never-out program. And while it’s early in the transition, the results thus far have been very encouraging. Rounding out the balance of the store, the categories of Hard Home, Electronics, Toys and Accessories were down the last year, which was planned. These businesses continue to downsize in donate footages to the other areas of store, mainly furniture and HBC, but the teams have been relentless and leveraging added to amplify and SKU optimization to improve the productivity per foot and the relevance in the space. Expanding our Ownable and Winnable categories is crucial to our long-term strategy one team, one goal and I truly appreciate the trust and team work from Bob and Alicia’s teams. Moving onto marketing and our online initiatives, in Q1, we celebrate the one-year anniversary of our e-comm platform. The team has done a very good job of staying focused on our walk run strategy as we learn more and more about Jennifer and how she is using this online channel. In fact, Q1 was our best performance yet from an overall operating perspective. All of our execution and operations are here in Columbus, and I am happy with how our start-up continues to improve. Additionally, from a marketing perspective, our presence on social media continues to grow and expand with Facebook now averaging 7 million unique users per week and Twitter averaging 3.5 million impressions per month. We’ve also seen gains on Pinterest, Instagram which is our fastest growing channel. In stores, our team executed another highly successful point of sale campaign to support the life saving work and research at Nationwide Children’s Hospital located here in Columbus, Ohio. Nationwide Children’s Hospital search patients and families from in all 50 states in over 50 countries; and during a four-week period, our team raised $2.4 million. My sincere thanks to Mike, Nick and the entire field organization and anyone involved in the campaign there are many for a job well done. And a special congratulation to Dannie Stuart, our store team leader and his entire team in Searcy, Arkansas, our top-performing store again for this campaign. We have great people in our stores organization helping us do what we do for good. Their passion, energy and generosity is nothing short of amazing. Philanthropic and community efforts are on the rise at Big Lots and I am confident this aligns us even tighter to Jennifer’s need and aspirations. With that, I’ll now turn the call back over to TJ for additional color on the numbers.
Tim Johnson: Thanks, David, and good morning everyone. Net sales for the first quarter of fiscal 2017 were [audio gap] a decrease of 1.2% versus $1.313 billion we reported last year with the decline resulting from a combination of lower same-store sales and fewer stores open year-over-year. Comparable store sales for stores open at least 15 months plus e-commerce sales decreased 0.9%, which compares to our guidance of flat to plus 2%. As a reminder, in Q1 of last year, comps increased 3%, so from a comparison perspective this quarter was our most difficult comp of the year. As we discussed on our last call, February was a very challenging month due to the delays in tax refund activity. Once refund checks were released, we did see a pronounced within our business but that’s a played out not enough to recover from the soft start. We were encouraged to see positive low-single-digit comps in March and we experienced positive mid-single-digits in April and for the combined period of Marpril or March April, probably the most encouraging data point from a sales perspective is May or early Q2 sales which are comfortably above last year. But I’ll speak about Q2 expectations in just a moment. Income for the first quarter was $51.5 million or $1.15 per diluted share, which compares to our guidance or $0.95 to $1.05 per diluted share. This record EPS result represents a 40% increase over last year’s adjusted income of $40 million or $0.82 per diluted share. The gross margin rate for the quarter was 40.4%, an increase of 100 basis points compared to last year’s first quarter rate with the improvement resulting from continuing good news in our shrink and store inventories, lower freight cost and improved IMU, both from a cost and a merchandize mix perspective. I do want to thank Steve and Nick and the asset protection and stores teams for embracing new initiatives and enhanced focus on inventory and loss control; great job with still opportunity to help driver overall company performance going forward. Total expense dollars were $445 million and the expense rate of 34.3% was approximately 20 basis points lower than last year’s adjusted rate and consistent with our guidance. The income tax rate for the quarter was 34.1% with favorability resulting from the change in equity accounting of approximately $0.07 per diluted share. Absent this change, the tax rate would have been approximately 38%. Moving on to the balance sheet, inventory ended the first quarter of fiscal 2017 at $836 million compared to $807 million last year with inventory levels per store increasing 5%. Under Lisa’s leadership, working with our GMMs in the entire BPARM organization, inventories are fresh and appropriately placed by category to support our sales growth in Q2, particularly in Ownable Winnable categories like seasonal, furniture and Soft Home. We intentionally are carrying more inventory in seasonal given our learnings from last year, and we’re intentionally carrying more inventory at the end of Q1 to support the transitions and resets in home food and consumables. The large majority of Q1 inventory growth will prove to be timing as we move through Q2. During Q1, we opened two new stores and did not close any stores, leaving us with 1,434 stores and total selling square footage of 31.6 million. Capital expenditure for the first quarter of 2017 were $22 million compared to $19 million last year and the depreciation expense was $28.6 million, a decrease of $1.1 million to last year. We ended the first quarter with $66 million of cash and cash equivalents and $116 million of borrowings under our credit facility. This compared to $64 million of cash and cash equivalents and $154 million of borrowings under our credit facility last year. Our use of cash generated by operations was focused on returning cash to you, our shareholders, through both share repurchases and dividends while lowering overall debt levels. In the first quarter of fiscal 2017, we invested $34 million to repurchase 700,000 shares, leaving us with $116 million available on our current share repurchase authorization as of the end of Q1. Additionally, we returned $11 million to shareholders in the form of our quarterly dividend payment of $0.25 per common share made in April. As noted in the separate press release this morning, our Board of Directors declared a quarterly cash dividend for the second quarter of fiscal 2017, also $0.25 per common share. This dividend is payable on June 23, 2017 to shareholders of record as of the close of business from June 09, 2017. Now, turning to forward guidance. For Q2, we expect income to be in the range of $0.58 to $0.63 per diluted share, representing 12% to 21% compared to last year’s income of $0.52 per diluted share. Our guidance assumes positive comps in the low-single-digit range compared to 0.3% increase for the same period last year. The gross margin rate for second quarter of fiscal 2017 is expected to be similar to last year and expenses as a percent of sales are expected to be lower in last year. For fiscal 2017, we have raised our guidance for income in the range of $4.05 to $4.20 per diluted share compared to prior guidance of $3.95 to $4.10 per diluted share. The increase this reflective of our above plan performance in Q1 and would represent an 11% to 15% increase over adjusted income of $3.64 per diluted share in 2016. This guidance is based on comparable store sales increase in the range of 1% to 2% and total sales up 2% to 3% to last year as the comp in the 53rd week are expected to be partially offset by lower overall store count. We continue to believe this level of financial performance will result in cash flow of approximately $180 million to $190 million. With that, I’ll turn the call back over to David.
David Campisi: Thanks, TJ. Before we open the line for questions, I want to share a few thoughts in closing. Earlier this month, I celebrated my fourth Anniversary as CEO of Big Lots and it has been an incredible four years, maybe the most rewarding of my 40 plus years in retail. When I look back and consider the transformation in our Company in four short years, I could not be more proud of the team and what has been accomplished. Our Ownable and Winnable merchandising strategy is resonating with Jennifer in a very challenging retail environment. Our associate engagement and culture has never been stronger, and we have consistently delivered value to our shareholders by doing what we said we do. But we are still at the beginning of the beginning, and the best is still ahead of us. Our brand identity initiative will redefine who we are and why we exist, and how we are different. Our goal is to stand out from other retailers and create an environment where Jennifer is part of our family, where we make an emotional connection with here and the community where she was. The store of the future reflects this way of thinking, personalizing entire Big Lots experience with Jennifer. It is not a typical story model program it is challenging legacy paradigm and have been with discount retail and Big Lots for a long time, and carefully improving every aspect and interaction with Jennifer. The store of the future shopping experience showcases our passion and desire to serve. Later this year, on September 19th, we will host investor and analyst conference here in Columbus to provide more detail and context on the next chapter of our Company. Since I arrived here in Columbus, Phil Mallott has served as the Non-Executive Chairman of the Board. Earlier this week Board agreed with Phil stepping aside and appointed Jim Chambers to the Non-Executive Chair. I want to thank Phil for his guidance and leadership over the last four years. It has been a pleasure working with him, and I look forward to his continued partnership as a member of our Board. I also want to congratulate Jim and welcome him into the new role. In addition, this week we received support on all items presented to our shareholders during the proxy season. I want to say a very sincere thank you to our loyal and long-term shareholder base for their confidence. I want to thank our teams in our stores, our distribution centers and here in the headquarters in Columbus. I appreciate your support and passion in executing our strategic initiatives and giving back to the communities of Jennifer. We are one team with one goal, and Q1 is another example of how we are winning together. This is clearly not business as usual here at Big Lots. And with that, I’ll turn the call back over to Andy.
Andy Regrut: Thanks David. Eric will you please open the lines for questions at this time.
Operator: Thank you [Operator Instructions]. And we’ll take the first question from Dan Wewer with Raymond James.
Dan Wewer: Thanks. David, I wanted to ask you about the changes in food and consumables. If you can give bit more detail on what changes the customer is going to see, and then also what are your expectations for when those categories could turn positive? I know the comparisons are easier in 2Q, but is it really the third quarter when we should begin to expect better momentum?
David Campisi: I would take couple of ways to answer that. I don’t think we’re probably going to have a positive comp in Q2, but it could be somewhere in that flattish range. But I would tell you the changes that are being made there is that just the team has really wrapped our arms around the industry. So what’s really working in the industry in making sure that we’re covered in those categories in dry grocery and as well as the freezer coolers, but its taking a lot of effort and a long-time to get that figured out and get that done. So we’ll start to see that payback I think in the back half of the year. And I’d reviewed all of the assortments with Lisa and Mitchell and Debbie and the team and the product offerings for fall and also for spring at ’17 looked so much better than what we’ve had on our floor for the longest time. So the changes are hard to explain other than the fact that there is more SKUs being added as an example and in food we’re doubling the SKU count on NVOs as we move into ’17, but some of that’s going to happen as I said on the call in June as well. So that’s going to help us with more consistency. So that the product is coming in the stores on a regular basis versus some of the challenges we’ve been faced with. And I think you’re going to see significant improvement in our world market if you want to call it that way, gourmet sector with Hispanic and Asians. So on that area, we have a buyer in there who is very passionate, I think she has been that maybe little bit more. But the assortment side, I’m seeing for gift giving in that area for the back half of the year as absolutely phenomenal. So those are some of the changes, and I would tell you in the consumables, it’s taken a long time and our team has just been relentless. And we now -- you will go into our stores and you will see the branded over the counter made like an add bill, leave and so on. It’s really a good thing not only have the team been able to negotiate finally get to the front door with that particular company. So all those brands we’ve added we’ve upped the count on the Sound Body, which is our private brand, so larger count. So when you look at the two on the shelf, you’re going to see a significant change in there. And as I said on the prepared remarks, we are already seeing, as stores have been setting, this week some really, really nice performance in that area. So some excitement coming and that’s true.
Dan Wewer: And then also just a follow-up for TJ on the guidance. On gross margin rate expected to be flat in 2Q, I recognize that the freight -- we’re anniversarying the leverage on freight expense. But I would have thought that the shrink, lower shrink accrual could continue. And then also just on the balance sheet, I didn’t see there was a reduction in the accrual of the salaries and wages, as well as operating expenses. Does that have any impact or any benefit on the 2Q expense outlook that you’re talking about?
Tim Johnson: Let me see if I can touch on those. Dan, first off the second quarter guidance from a margin perspective please understand that we’re up against the 100 basis points of improvement from a year ago. So we are starting to lap particularly from a freight perspective some of the opportunities that we’ve harvested over the last 12 months that starts in Q2. I think the second point to remember is our markdown rate last year was unusually low given the high-high sell-through that we have in one first quarter on Lawn and Garden in summer. So essentially we were much more, from a rate perspective, if you just focused on rate the opportunity to drive gross margin dollars and seasonal in the second quarter is much greater, but there will be markdowns associated with it. So we’ll make more money from a rate perspective and then usually low markdown rate last year in second quarter; second part of your question, from a go forward perspective understand where we were last year, but from a go forward perspective, we have done, we think a very good job negotiating new ocean contracts. But those rates do not go down year-over-year, they actually go up slightly, which we think is a good result given the market conditions overseas and how low rates for a year ago. So freight is not likely a benefit going forward to the extent has been. From a strength perspective, we are very bullish on our shrink results and that is reflected in, or updated accruals as of the end of Q1. So we take all of our inventory results from January all the way through April and try to forecast forward what the stores to have yet inventory is now look like. So we have done as best we can updating the shrink accrual rate as of the end first quarter in capturing all that benefit add of roughly 900 stores, but also an expectation for what the next 500 look like. From a balance sheet perspective, I think the second part of your question I think part of that change that you might be noticing is the difference in pension year-over-year could be impacting those line items that you’re referring to. So you may recall, we frozen and terminated and have now since paid out and sold off the pension balances to a third part year. So there is no longer on our balance sheet.
Operator: And we’ll go next Patrick McKeever with MKM Partners.
Patrick McKeever: Just wondering, David, if you could give us update on the Easy Leasing program and also the private label credit card, the Big Lots credit card. That’s my first quarter question and then secondly just on e-commerce. You talked about a strong performance from an operating standpoint in the first quarter. Does the guidance for the full year still assume that $0.16 to $0.18 operating loss for e-commerce? And also what are you seeing with the e-commerce now that you’re into it in terms of the mix of sales?
David Campisi: I’ll take part of that e-commerce thing and then I’ll let TJ give you the numbers on where we’re at as far as the projection for year end. But we did have a very nice first quarter Patrick, and you know the thing that we’re learning and as we said before, we’re learning that she’s interested in our maintenance categories. But the Patio business was very strong lawn and garden, Patio furniture I mean all the other categories in there were probably half the volume on those; Soft Home is the second probably highest performing category online as well. But we exceeded our expectations in Q1, and we’ve been managing what is, as you all know we’ve talked about in person, is the hardest thing to manage and e-commerce is the shipping time. And I would say that TJ and the team Lisa meet weekly and we’ve done a really good job of creating shipping offers that are very compelling that it doesn’t have to be free on this big ticket stuff. And that’s worked very, very well, so pleased with that. And we’re working on this thing that’s called SDF for supplier direct fulfillment. And I would tell you that we have one of our strongest vendors out of China that it was our first offering and we outperformed ourselves, in fact he ran out of inventory, I should say. So very pleased with how that’s all coming together. And I think your first question was about Easy Leasing and the credit card. And obviously, as you all know, they’re both critically important. And I’m going to let TJ, because I know he has those numbers in front of him that I don’t. I hope that answers your question on e-commerce.
Tim Johnson: Patrick, just to round everything out from an e-com perspective, I’d say based on first quarter results, we’re likely trending towards the better end of the range that we gave you from an e-com perspective. So volume was a little bit above planned and the operating loss was lower than planned, which are both positive indicators for where we’re going. I think the important thing there that is very encouraging for us is our operating loss in first quarter was actually better than in fourth quarter, which is maybe a little counter-intuitive to what you might think given the holiday season. But I think again supports our notion that we’re still very new in this space. Jennifer is still learning that we’re online and transacting online and this is really our first full season of having good quality, first quality goods in lawn and garden in summer, and a growing presence in Soft Home and furniture; so very encouraged by first quarter results. The team has done a very nice job there in coordinating with our merchant partners and fulfillment in our DC. So happy with how that’s progressing. First part of your question around Easy Leasing and credit card sales, encouraged by the first quarter, I’ll say it again, I’ve said it for 12 or 13 quarters now, we continue to comp the comp in Easy Leasing. Our partners at Progressive continue to collaborate with us and try to help us grow our business, while growing in our business. So we comp the comp again in Easy Leasing in the first quarter. As a reminder, that business has grown to upwards of $200 million or more from a business that was zero, not so long ago back in 2013. So we’re very encouraged about the opportunities that lie ahead of us in terms of lease to purchase and Easy Leasing with Progressive. Similarly, with our partners that Alliance Data Systems, we grew our credit card business or our private label credit card business very significantly in first quarter. Again, another opportunity for us to -- and sent to Jennifer towards our bigger ticket Ownable-Winnable categories grow that data base of customers that we can then market to. And again, our partners that Alliance Data have worked extremely hard with us to try to get that -- again, I call it our start-up much like our e-commerce business, because we just at our first birthday here in the last couple of weeks with the launch of the national credit card under the Big Lots, so still very, very new. And the third thing I would add, and this is the shutout to our stores team, because it marries well with both Easy Leasing and the Big Lots credit card and how we’re trying to support our Ownable-Winnable categories. The store teams did an excellent job in the first quarter supporting the launch of our big coverage warranty program, which again supports bigger ticket programs in our store, primarily furniture. So a lot of really good -- a lot of good operational execution of lease to purchase private label credit card, big coverage, supporting Ownable-Winnable businesses; Nick and his team are doing a great job in that space. So we appreciate that.
Operator: And we’ll go next to Matthew Boss with J. P. Morgan.
Matthew Boss: In the Soft Home and Furniture category, can you just talk about recent trends that you’ve seen between AUR, a number of transacted? I guess the best way to think about the composition going forward to drive continued growth in those two categories, Soft Home and Furniture?
David Campisi: I would tell you that the AUR is coming out of our guys having the courage in the confidence to step up in buy using QBFV they’re just buying higher price points in both top of bed and in our bath area and really across the Board in there, and not being afraid to step up. And some of the sell through or getting on price points we’ve never ever have carried Big Lots has been pretty amazing. So from the standpoint of AUR and sell-through, it’s really coming out of improved QBFV and going after. And I think in some cases, we’ve done a really good job of working with our suppliers on negotiating better costs and so on. But it’s not -- we’re not passing in out of the customer, we’re still offering incredible value there. It’s really the same story in furniture. I mean Mark and Robert and that entire Furniture team are very passionate about figuring out ways to work with their suppliers to still offer great value, and also stepping up in with higher price points. Same thing happened this spring in our outdoor Furniture department. Like as an example for the first time ever, we sold $1,000 Patio set and it’s almost sold through. And next spring the guys already showed me a few weeks ago that they’re bring in a $1,299 you know $1300 that everybody calls Patio set that’s another price point that we’ve never carried at Big. So again it’s really our team starting to get comfortable with being able to test the waters and go after higher quality, higher price points while still offering. I don’t know all those numbers in front of my head but we used to carry $3 pillow and we’re afraid to walk away from that thing. And you sell a lot of units but now we’ve got a much higher price point, and we’re selling a lot of units and we’re driving double digit growth. So it’s a combination of what I’ve been saying to you guys for four years, continuous improvement going after at it to amplify and figuring out ways to improve the QBFV, and magically for some reason, it’s actually working. Hopefully that answers your questions, Matt.
Matthew Boss: And then just one follow-up in the food category. Can you touch on the change that you spoke to in your prepared remarks on the competitive landscape? I think you’ve set some competitive ramping that you’re seeing. Just any changes you’re considering to your pricing architecture in the other two categories?
David Campisi: It’s funny we had our Board meeting yesterday we spend a little bit of time on this conversation, because as you will know we kind of lapped and I’m not sure if it’s pronounced Lidl or Lidl. But the battle that’s going on out there with the food world is ugly, right. I mean the 800 pound gorilla has been aggressive on pricing. The guys here in Cincinnati is saying the same thing and now you got all these being banging away and banging away for a while now, and now you’ve got another player coming in here. So really the commentary was focused in on where can we position ourselves, and as we’ve told you over the years that one of the differentiations has been the closed outside of that business. And that will continue, and we’ve got to continue to tweak the assortments and work with our suppliers to make sure that we’re out competitively shopping and that we’re pricing as close as we possibly can get to all those guys. And it’s a little bit different model. You hear all these guys talking about deflation and TJ and I refused to listen to that word, because I think the deflation is really not necessarily in dry grocery, it’s more in the perimeter businesses, whether it’s lower milk and meat prices and in produce and all that kind of stuff. But for us as you know it’s a convenience play, and we’re going to continue just hone our assortments. And the guys are working so hard to do a better job of editing and editing so that we really stand for something. And plus the focus on all the things that are healthy, whether its gluten free and so on, we’ll just continue to get bigger. I don’t know, TJ if you have anything?
Tim Johnson: I think the one thing I would add there, Matt to David’s point is for us food, as an example, is 15 or 16% percent of our business in consumables is a similar size. So we’re talking about maybe third of our business compared to some of those in our competitive set that are upwards of 50%, 60%, 70% or more is heavily reliant on food and consumables. Our strategy is a little bit different, we’re going in a different direction as evidenced by the first part of your question, and really trying to accentuate those Ownable categories of furniture and seasonal and the opportunity to increase awareness in that category in our stores while we’re increasing the value in average item retail. And also from a Soft Home perspective, although, we call it Winnable the performance has been in line with Ownable; so good for us and great job by the team. So I think our strategy is maybe slightly different than some of those others out there that are more focused and more heavily dependent on food and consumables. And I think that again makes us a little bit more unique and certainly puts us in a different place or different thought process with Jennifer. And we’ll further accentuate that as we move through this year with store of the future and the work around brand identity; really trying to make a bigger deal about those things that she tells us; she is most interested in our store; and where we think we have an opportunity to grab share.
Operator: And then next question is from Brian Nagel with Oppenheimer.
Brian Nagel: So a couple of questions. First off, just with regard to the cadence of sales in the quarter, it was pretty well-documented, a number of retailers out there about a weak February and the impact of delayed tax refund. So if you look at your business, I know, it’s hard to analyze it perfectly. But was the weakest early in the period in February, do you think really all related to delayed in tax refunds? And then as you saw the shift to higher comps; was there evidence that the consumer was sort of making up for lost time, or just getting back toward normal run rate? And then I have a follow-up.
Tim Johnson: Yes, I think we would view the former than the latter. We think she made up for some lost time, but just not enough and not to be cute with it, but we actually monitor as we’ve talked about before income tax refund activity by day. So we had a very clear understanding of how much money was out there. And particularly, our big ticket businesses how well they were doing or not doing in the month of February and how well or how significantly they ramped in March and April. And I think the challenge was for us, and I think you’re probably hearing that from other retailers that, some of that business that was missed in February came back and some of it didn’t; and more of it did not come back and we would have anticipated. However, having said that, I do want to emphasize and we talked about this on the last call; December, positive comps; January, positive comps; February, tough, tough month across retail; March, positive comps; April, positive comps solid start to May, comfortably in positive territory. So we do believe there is enough indication and enough data to support the February was a one-off. And it’s unfortunate, because it broke the string, and now we’ve got to start at one with second quarter. But we don’t believe it’s indicative of something that we need to do different from a strategic standpoint. Other than, as we think about planning for next year, it’s hard to imagine this scenario what happened this year and with whatever if anything comes about tax reform that those tax refund checks are come out any earlier than they did this year. So as we think about next year in first quarter, you start to think about tax on selling as a March and April and less so about February. So those are all things Brian that we’re thinking about as we analyze this year and really trying to strategically position the business for a year from now.
Brian Nagel: And then the second question I had maybe a little bit longer term in nature. But look I think as I look at your business model, I’m sure the people had the same analysis that one of the big positives here is been your consistent ability to leverage expenses with lower, in some cases, a negative comp most recently. As you look at the expense line, I mean how long will we be able to continue to maintain the limited expense growth? Or in other words, are there any pressures down the road that could impact your ability to continue to do that?
Tim Johnson: I think there is a couple of ways to look at that. I think if there are pressures that we, I’d say, worry about which is probably not a great word that we were sensitive to and the ones that are outside our control, Brian. So we talked about for this year and the wage pressure is at certain states around the minimum wage. Certainly, it’s there for us, it’s there for others, similarly in our distribution centers. So we understand that and we’ll do the right thing for our teams and we’ll attract the talent that we want to attract. So that is a pressure that probably isn’t a one year thing. I think absent that though, the team does an incredible job of being very, very collaborative and trying to be as frugal as possible in a lot of different areas of the business. And we don’t talk about a lot of the singles and doubles that we get or LED lighting or how we’re looking at re-commissioning our energy management systems and how we’re looking at thinking about floor care differently in going from a number of suppliers down to handful of national suppliers. Those are all things that I think are blurred and our shareholders expect us to do, and we continue to do that. I think the only piece and we’ll talk more about this when we get to our Analyst Day in September is as we think about rolling out brand identity and as we think about taking whatever learnings we achieve from store of the future and extrapolating those on the chain, that’s the cost we don’t have today. Now, there should be an expectation that we continue to drive positive comps and even in those stores, maybe a little bit better comps; so all of that needs to get factored in as we think about the forward view that we’re going to talk about at our Analyst Day in September. What I am confident in is this year that we’re in, we’ve not run across anything in the first handful of months that’s big and scary from an expense standpoint. If anything, we’re saving money relative to our plan because again as David mentioned in his opening comments, this one team with one goal the last three plus years have been very, very strong for our Company as we’ve repositioned and people have been done very, very well from a bonus and compensation standpoint. So everyone gets the game, everyone gets the fact that we have to drive consistent comps and do the right thing from a cost perspective as we reposition business. So I feel very good about how the cost structure is set up for the balance of this year.
David Campisi: I would just add to that last comment while taking care of Jennifer. The teams are razor focused on who signs of our paychecks an it’s really part of our culture and it’s why we’re winning.
Operator: Our next question is from Anthony Chukumba with Loop Capital Markets. And it appears he has left the queue. We’ll go next to Brad Thomas with KeyBanc Capital Markets.
Brad Thomas: Hoping to ask question on store of the future and then a clarification on the guidance; starting with the store of the future, hoping you could just give us an update on how that is coming along; some of the enhancements that you’re putting in place; and just your latest thoughts on what the Company would like to see from a return standpoint in order to accelerate that kind of a rollout over the coming years?
David Campisi: Like a fly on the wall. You want me to start with store of the future you can add some color to. We talked a lot about what you just asked, so we’ll try to give you as best a balance of color around as we can. Hopefully, I’m going to see you in September, because you will see the store of the future went out here. It’s coming along very nicely, I couldn’t be more excited. I would say this is probably on top of creating with QBFV, edit-to-amplify strategy for the Company and seeing it come together with our care A-teams and the execution come together. This is the next phase, Brad, for Big Lots to stay relevant in this crazy retail environment all live in. And it’s hard to -- again it’s hard to explain. I’ve got, I don’t know 25, 30-page deck in front of me here. But we will be touching everything and we will be taking the brand identity components that have been created, which by the way, is some of the best work I’ve ever seen in my entire carrier when it comes to understanding brand. So I don’t know how far you want me to go on this call TJ. But I could get out of control here, because really is exciting stuff. But this is going to focused on a combination of different -- you’re still going to see gondolas in the survey, you’re going to see some changes in fixing. You’re going to see incredible changes in the front-end with finally, we’re going to have real check-out stands you can actually put your merchandise on, which believe or not, is a huge customer servicing. We’re going to be softening, the messaging in the stores, removing a lot of sign pollution, changing the floors. As I said on prior earnings call, making that trip more fun, creating vignettes in Furniture that stand out like you cannot believe in discount space, none of the steps being done. So again, it’s exciting time for the Company and we’ve got the team fired up like you can’t believe to take this one and run with it. And again, softening and creating an environment for Jennifer so when she comes in, she’s greeted with hello, and then when she’s leaving, she’s also greeted with thank you for shopping in your community Big Lots. So I think part of that is going to be something you’ll hear more about, I said in the prepared remarks, I used the serve. And that’s part of our strategy is bringing into the Big Lots family and being part of the serve big. And we think that we’re on to something here that’s pretty special and taking that emotional connection I believe always have, it’s critical. So that’s kind of hopefully answers a little bit about store of the future. But we are working with the store out there is work, the floorings going in, paints going in, a lot of work happening where these guys are working close through open and have been added TJ about for 10 days, two weeks almost now. So it’s exciting, really exciting. And again Brad, I hope you’ll come out in September and see that. And then on the second part of your question as far as what’s the expectations, I’m going to hand that over to TJ, because we talked a lot about can’t all be just numbers. There is a combination of both improving the shopping experience -- so TJ, you want to take that one for Brad.
Tim Johnson: I think just to add what David mentioning in terms of the store, and it will be a focal point of the Investor Day in September. We have one store underway currently where we’ve got teams from really all parts of the country coming into be part of that and help, but also to learn with an expectation that this will be successful and it will come to their market, so their regions soon enough. So the team is very, very excited about it. There is a lot of people, Brad, working really hard overnight as David said; the HR team is supporting us in a big, big way by a pretty significant effort for hiring here in this store in Columbus. The construction team is pulling overnight along with Nick and his team pulling overnight a store team there is doing a wonderful job. I’ve been in the store Jennifer if she didn’t look down at the floor, wouldn’t know anything is going on. It’s not disrupting her shopping experience during the day. She seems subtle changes every day as David mentioned some of the flooring has started to change, the sign out front has changed some of the look and feel of the front-end is changing. So there is a lot of work being done, it’s probably a six plus week process at this point. Again, our thought process is do one store get it right, so you can then extrapolate it on the balance of test source and it’s been encouraging so far. What we also talked about, second part of your question with our Board is this can’t, from our perspective, we’re not thinking about this just from a numbers point of view. We know in this group of stores we’re likely spending more than we will if you roll it out, because we’re trying to do it quickly. And with a greater number of stores come scale and comes lower cost. So I hesitate to put a model out there on these remodels when we have one store that’s 10 days old in terms of construction. But what I would share is that when we’ve done store remodels in the past or when we’ve done what we call blend and expense where our real estate team works with our landlord partners and they actually help us fund the remodel in exchange for longer-term. So we’ve got examples of both of those that are pretty significant changes to the store, not as significant as what we’re doing with store of the future. And certainly not including the brand identity onus as David mentioned which is part of store of the future. When executed well and maintained store remodels are blend on expense, we fell pretty comfortable that we could see a mid single-digit comp lift. I guess our point of view is that’s a good start, because the change in store of the future and the brand elements, we do think are stronger than what we have done in remodels in the past for blend and expense. So hopefully that gives you a little bit of perspective Brad and others because I’m sure others have maybe a similar question and kind of jot it down for later in the queue. The other thing I would suggest is when you walk in the store of the future, you’re going to see a pretty significant shift in how categories are positioned in the store; shouldn’t be a surprise; we just spend first 10 or 15 minutes on this call talking about our Ownable categories. So those Ownable categories are going to get great real estate in the store; so that we can further extenuate and further differentiate the strategy from a merchandizing perspective.
Brad Thomas: That’s very helpful. Well, hopefully a quick clarification on the guidance. Pretty straight forward that you beat your first quarter guidance by $0.10, the full year guidance is going up by $0.10. Your second quarter guidance, I think, it will be about $0.03 or $0.04 ahead of what the street was expecting. So I guess just if I look at the math for consensus it would imply that seat numbers in the second half probably need to come down by $0.06 or more. Just any color TJ as we think about 3Q, 4Q and how you’re thinking about your model for the back half would be helpful.
Tim Johnson: Yes, I’m not sure how to answer that, because we’re not going through third and fourth quarter. I would only suggest that we’ve got -- we probably have a better handle on the calendarization based on our internal plans than the information that you guys have available. So I would just -- hopefully, we’ve built up credibility in the last now four years that David’s been here and when we set guidance for an earnings perspective we deliver it or better. We feel very good about how the business is positioned for second quarter. We feel good about how the business is positioned for the back half for the year. Because again last six months, we have one month where we’re off trend, and I think it’s pretty easy to understand why. So I would just suggest that our calendarization is based on, I think a very good internal plans and what you guys determine, what you want to do with the back half for the year.
Operator: And we’ll go next to Anthony Chukumba with Loop Capital Markets.
Anthony Chukumba: So just one quick question, and maybe this is hard to quantify, but I thought I’d ask the question anyway. I mean, clearly, delayed tax refunds had a negative impact when you’re expecting 0% to 2% comp, and your comp was down slightly. Like you said, it really came down in the month of February. I mean is there any way to sort of say what that headwind was for the entire first quarter?
Tim Johnson: I guess, from our perspective, I don’t want to get in the category performance relatively to plan and those numbers. I guess what I would suggest is based on my comments earlier around comp trend, particularly December, January and then subsequent in March, April and May. I think, we feel pretty confident had the tax refunds been aligned with the prior year that we would have been in our range of guidance and what you determine, where you think we would have ended up in the range. But flat to two versus a negative 0.9 extrapolated across $1.3 billion in the first quarter, and this suggests something in the $20 million to $25 million range. That’s not out of balance, I mean, that’s the kind of challenges we were up against in the month of February. So had we not had positive trend in December and January, Anthony, or had we not seen a sharp rebound in sales in March and April and then continued momentum in May. I think we’d have to question my comment on February. But I think given the trend of positive comps, I think, we also are comfortable that we would have been in the range for the quarter, had things lined up with the IRS a little bit better.
Anthony Chukumba: And then just sort of a related question, I mean, is it a fair assessment that the delayed tax refunds most significantly hurt the Furniture business, where we did see still positive comps but a sequential deceleration. Is that a fair statement?
Tim Johnson: Yes. Again the same phenomena happened in total happened in Furniture; positive fourth quarter and I think the mid single-digits, if I recall correctly you know; February was down double-digits overnight; And as we’ve moved into Marpril, again, solid double-digit rebound in furniture and as we’re sitting here in the first month and in the quarter in the month of May, Furniture comps are back in the mid singles to high singles. So I don’t know how to say this any clear and we don’t like to make excuses. But when the money is not out there, the money is not out there in February. So it was really clear to us by category. And additionally, I would suggest the attachment which continues to grow based on better merchandizing in store, better plans by the merchants working with the operations teams on how to present the attachment in Soft Home continues to grow. So there was some headwind for Kevin and his team too, no doubt. But just given this year’s size of furniture and the volume we do in first quarter is more pronounced there.
David Campisi: And especially February with -- that’s one of our largest mattress months and President Day sales, so definitely an impact. And I would just say to the -- actually good news, if you two want to call it good news, is we really did learn that there was a lot more Soft Home attachment to furniture than we thought based on that performance. But Anthony you are a smart guy, we’ve talked a lot about business. And I’ve been kind of surprised to less than 30 plus years in apparel and we never talked about past returns. Mark and I talk about that all the time. But this last two weeks, I’ve never seen anything like it, it’s like every apparel footwear company, is coming out with their results is blaming it on the tax refund. So at those opening price points, they’re not higher prices. But I guess for me it’s been a real learn because the government releases those daily payments as you all know. And as TJ and his team is doing an incredible job of what I like to call inspect where you expect. So we were watching it daily and there was a point in time I think that by the end of February, the IRS was $60 billion behind LOI. So that makes it rather difficult to maneuver in those big ticket areas for sure.
Operator: We’ll go next to Alvin Concepcion with Citi.
Alvin Concepcion: Just a follow-up on that line of questioning, it sounds like you’re pretty thrilled about the conference in May. Would you consider it to be a normalized month with no significant benefit from tax refund?
David Campisi: Yes. The tax refunds unfortunately we think come and gone. And we think and we didn’t get back what we would have hoped from February on into the balance of first quarter. I think the opportunity that we’re really capitalizing on here in the first 3.5 weeks of May is what we talked about earlier from a seasonal perspective. We know we were out of business in some key items already last year in April and May. And good news is the team took that learning and purchase the inventory and we’re deep enough that we feel comfortable we can drive that business through the second quarter. I think that’s if there is anything unique Alvin to May it’s the uniqueness of we’re in business, and inventory and seasonal were last year we have high class problem selling out early in some style. So that’s the nice benefit to the month of May as it started. Having said that even if you took Seasonal off of the table or added the equation. We’re still seeing nice comp trends in the balance of store, namely Furniture in Soft Home. So I know it sounds repetitive, but keep coming back to Ownable, Seasonal and Furniture and Winnable, particularly Soft Home. Now if we take those three categories in total, look at our 10-K, it’s roughly 55% of the business, give or take, that’s coming up mid to high-singles. Those are key drivers. We think there is a long run way there and we’ll talk more about it as we get to September and you’ll see it in store of the future.
Alvin Concepcion: And wondering, if you started seeing any benefit in terms of market share from retailers that have closed stores, particularly Furniture and maybe other categories, have you started to see anything?
David Campisi: That’s a good question, we talk a little bit about that yesterday too; pretty hard to measure, Alvin. But I would say that definitely the retailers, the department store retailers that are in the Furniture mattress business, we hope to get a little bit of that business as well as Soft Home. And we think we are, based on some of the industry numbers that Mark has shared with me yesterday, the day before versus where we’re at. And then I would say that one of our biggest brands in mattresses is consistently totals that we’re taking share, because it’s, I think, don’t need to list the names who they are. But definitely, we are outperforming industry in mattresses for sure. Lisa and I and Martha and the team were in Tupelo, Mississippi a couple of weeks ago, where they build all of our upholstered Furniture was quite a fascinating thing to see. And we really were told by the CEO and his team that we are really, really outperforming. So we’re pleased with that, as you know we laser focused on -- and that makes a big difference to, I think, not resting on your laurels and staying laser focused on how do we improve. And the team, candidly, has again had the courage to step up and Lisa likes to call them brown poufy upholstered sofas that they’ve actually gone after other categories that are really some beautiful quality and passion and new colors, and that’s working as well. So a combination of taking something from those guys, it’s hard to put enough to it. I’ll take 5% to 10% right now.
Tim Johnson: And while David will take the 5% to 10% from a merchandising perspective, I’ll take the extra looks on real estate. And we’re already starting to engage with landlords and/or bankruptcy proceedings to try to understand whether might be opportunity there. So not to name names, but some of those boxes or some of the concepts that are out there, that are a little challenge right now fit nicely for us size-wise, and they’re nice and clean to go into and open this new store. So I’m encouraged about that opportunity as we move into 2018 also.
Operator: And we’ll go next to David Mann with Johnson Rice.
David Mann: If we can go back to the Food and Consumables category, I believe you talked about improvement in this category, or these categories for several quarters. So I guess I’m curious if you elaborate a little bit on what gives you some confidence that that execution is really the issue here versus perhaps something a little more structural in terms of how Jennifer wants to shop you versus your competitors?
David Campisi: Good question, Dave. And I’ll try to answer as best I can. I think, it was probably me three or four quarters ago that said you know we shot ourselves in the foot mostly it is self inflicted. I still believe that. And you know if you walk our stores, you can see the assortments are getting better. And I think by the time we hit June or July with some of the resets, it’s even getting better. So we believe in the business. I think what’s happened in the last year though candidly when I made that call is that business has changed a lot from the standpoint of competitiveness, a lot of competitors coming in from out of the United States and growing their footprints. So I think a combination of, I mean, fewer set as TJ said it’s still 16 plus percent of our volumes. So it’s amount of small number by any means. I just think that it’s much more competitive and we just have to stay out in there and make sure that we’re competitively shopping and pricing while we’re improving the quality and brand. Candidly, we didn’t talk a lot about that either the brands that the guys are acquiring in food and improving the healthiness of, if you will, the snacks and those categories is a big part of that. This kind of stuff just doesn’t get fixed overnight. What I like to see it move quicker, absolutely David, but I believe it’s going to come, I believe in this team and it’s a new team. They look at the business completely different than a traditional food team would and that we have to because it’s a different type of an approach to the business. And I think they’re managing the close out part of it much better. So that’s where we’re at on food. But I do think at the end if you follow food right now. And in the last year things that really changed a lot and you think you look at what’s going on and how Amazon just opened their first dry fruit grocery store, I saw that email come out this morning, not that I think they’re doing huge numbers in grocery but they certainly are in the game along with everybody else. And again all these and Trader Joe’s continue to expand, and I think that as you probably hit on one of the larger first healthy grocer. So it’s just a changing world out there and I think we have to be on top of our game, which I believe we are and continue to offer brands at great value. In consumables I mean I would just tell you that I said earlier that the team has been relentless from lease on down to acquire brands. And if you go into our stores, you’ll know who this big company is that’s selling us all the branded over the counter medications, and then we also have added a lot of nutritional supplements as well. That’s all new for us and we’re starting to see some real traction, just in the set is really happening as weak. So we should see significant improvement on the consumable side, and we believe we’re headed in the right direction there. And I think we’ll probably see, probably I believe a faster turnaround at consumables on the bottom-line just because of the launch of this extended over the counter assortment of medications and nutritional supplements.
David Mann: David, that’s very helpful. TJ, couple of just quick questions on the guidance. In terms of gross margin, you said last call that your guidance for the year was essentially flat. Looks like with what you did in Q1 and what you’re got in Q2, you’re running ahead. So would you still expect gross margin to be flat for the year or would you revise that today? And then secondly just on the ASU impact on tax in Q1, what should we expect in Q2? Thank you.
Tim Johnson: Sure. I think it is fair to assume that the margin rate for the year will be slightly up based on the outperformance in Q1. So I do agree with that assumption, David. And then I think the second part of your question, you’re referring to the equity accounting change in Q1, so the change for how equity is handled from a tax perspective. And there is really two things, I guess, a rising share price is a good guide for a lower tax rate in first quarter and dividends are a good guide for a lower tax rate in first quarter. And we have both of those things working in our favor. So I think the numbers were something along the lines of roughly 80% or 85% of the benefit in first quarter, which is about $3 million after-tax, about 80% of that was related to the equity accounting change and the balance was more about dividends. So hopefully, that adds a little bit of color. Obviously, there are companies out there that are in similar situation as us and there are some out there with the share price may be going -- and in downward direction that might be putting pressure on the tax number. But for us, a rising share price is a good guide and dividends and an increasing dividend is a good guide.
David Mann: But all things being equal, we might expect to see similar benefit on the tax line in Q2?
Tim Johnson: No, that’s a one-time first quarter adjustment as equity vest, yes.
David Mann: Okay…
Tim Johnson: …to the invested in first quarter, you saw that and the activities and that’s a one-time first quarter adjustment. Now, there will be a first quarter adjustment next year too, it just depends on two variables that I mentioned.
Operator: We’ll go next to Laura Champine with Roe Equity Research.
Laura Champine: It’s on Furniture where obviously you’re having great results in terms of sales. But as you think about expanding square footage in that category, does it make sense to have a sales person posted up in that section of the store, which I’ve seen inconsistent execution? Any changes in the way you’re going to be handling service in the Furniture and mattress part in the store?
David Campisi: I’ll take that, and I know Nick is listening. So he’s probably not happy to hear that comment. But we have Furniture team leads in almost every store, Laura, and they are supposed to be over there full time basis, now it is a mean that this coverage from 10 AM to 10 PM or 9 PM. But the focus there -- last year, we launched the store revolution, they were all trained and how to sell Furniture versus carrying Furniture out to somebody’s car. I would tell you that the turnover there is better than the average turnover in the store. But your challenges are always going to be there. I’ve seen it myself, where once in a while somebody goes on break on the front-end the Furniture team leads comes over cover. But we have a strategy in place that’s very well put together, very well thought out that puts that person in the Furniture department. And as part of the store, the future I might add, as we change the positioning of that business it will be much more -- how to I want to say this, focal visual. So that that person will be position where we won’t have that problem like we do today, because a lot of those Furniture departments, as you know, are in the back of the store; so overtime that should improve. But there is a strategy there and I told you this from the day I met you that one of the hardest thing is retail is to execute at a high level on all 1,425 or 30 stores, but there is a well written strategy. I don’t know what else I can say [indiscernible] to hear that.
Tim Johnson: I think there is two things that maybe we could help with there. I’ve been going on memory, so directionally correct. I think we have coverage in our furniture department where we staffed the furniture coverage in the furniture department probably 75 to 80% of the time we’re open during the day. So those shorter hours or maybe early open hours are assumption and our data suggest that’s probably not the best use of hours in the store. But having said that, we are testing expanded coverage in furniture this year, we mentioned that very early on, that’s one of the investments we’re making in store payroll along with testing for coverage in the seasonal area, because you could have a similar conversation there certainly a peak selling times, but maybe not all hours of opening at a store level. So we’re aware it’s a challenge. We do our best to try to staff the highest most productive hours fully, and we’re trying to understand what it would mean if we expanded that even further. But I think the challenge of even expanding it further might not even cover some of those early open hours or late close hours but might put more people in the department during peak selling times, like the weekends or around market share events. But I think today at this point, it’s a focal point in store of the future, so hopefully, that gets better. Again, that only is going to impact a handful of stores this year and hopefully a number of stores next year. But I think being aware of it and testing towards something different, hopefully, helps you understand we’re aware of it and we’re trying to do something about it.
Laura Champine: And then just a quick follow-on, you mentioned that there is less turnover in that section of the store. Is that because their incentive structure is different in a way that they are benefitting from the growth of that category within the lots?
Tim Johnson: Absolutely, the furniture team leads our incentive based on furniture sales and performance in the stores. So I have to expand that even further though to say that our store team leaders and the impact this information may have today through their iPad and the dashboards that are -- our IT group has worked with Nick and Kathy and the teams on. Our store team leaders get the game too, if they understand and if they drive their Ownable business they got a whole heck of a lot better chance to getting their quarterly sales bonus and control all profit bonus than if they’re focused on other categories. So again, it’s definitely a focus area in the stores they get it; sometimes execution isn’t 100% but that’s definitely a key part of the strategy.
Operator: The next question is from Paul Trussell with Deutsche Bank.
Paul Trussell: David, I hate to use the term that pre-dates you. But in essence, that does sound like you guys are having some success raising the rent. Look you have a very nice sale through of better quality goods. Any stats you can share around what you’re seeing from a traffic or conversion or UPT standpoint? And as think about store of the future and drive in the comp going forward. How important is it to the model to continue to garner a broader base of customers and see incremental number of transactions. And in separately, there is a number of disruptors, obviously, in the Home and Furniture industry that we’re having conversations about, showcasing rapid growth online. Just -- look, you’ve been very successful over the years. Can you talk about how you plan to protect your turf in Home and Furniture and continue to be a destination, going forward?
David Campisi: That’s good stuff, I would tell you must have been a fly on the wall yesterday, because we talked a lot about how you do that with these categories when you have to use your word irrational, guys online, and someone referred to them as the Bernie Madoff of the furniture department, a couple of weeks ago. I mean you analysts wrote that any way, not me. But yes, Paul, I appreciate that that prior to me. But I like to talk about rather than using that terminology, because when they were doing raise the ring, they had nothing to do with QBFV, it had to do with just go out and find a really good deal even if some junk that no one wanted. So for us, it’s a different mentality and how we approach it it’s more about how do you add the confidence and the courage to go out there and improve your assortments and step-up your price points. Nothing that’s outrageous but having the courage to do that, and that’s what the team has done. I don’t care whether it’s in upholstery or mattresses or case goods or Soft Home, all those guys have stepped up and we have some new things coming down the pipeline in appliances and floor care that I’m really excited about from improved quality and price point of view. So rather than focus on raise the ring, we’re just getting the benefit of QBFV and i.e., it falls into AUR. So you have that out there, that’s really working well for us. But when you talk about traffic and transaction and UPTs and all that, we’re heavily focused on basket, and UPTs and AUR and then what TJ can add some color, he’s closer to it and I am is sales for shopper rather than looking at conversion. I mean we look at conversion, I should say we don’t and we do. Nick and his team and Mike, those guys all look at that on a daily, weekly basis. However, we all know that traffic. I think you got to be really unrealistic to think that traffic in brick-and-mortar is all the sudden one day going to start increasing again. Maybe it will, maybe it’s a lot of the stores go away and they cut back on how many locations they have, maybe we’ll see that. I don’t personally believe we will so have to be laser focused on taking care of our current shopper. And while to add to your comment about how do you get new shoppers into the stores, and that’s part of what you’ll see in September when we talk about brand identity. And brand identity will get rolled out in a bigger way in spring but the test stores obviously this fall under store of the future will have all the new branding. But we’re not waiting and resting on our laurels. We’ll make that happen and we think it’s going to create something that’s hard to explain Paul, that it’s really about community. And we think that there is a way for us to connect not only with digital and mobile and all those other omni-channel assets, but also just truly through the emotion and what we’re doing. We just launched for the first time in the Company across the United States our regional price presidents have a budget now for local philanthropic charities, and also to our five distribution centers. Those things albeit it at you guys can’t put a number to it makes a huge difference in the community. And we think that our customers and our non-customers are going to start crossing the isle and shopping. And so that piece we believe is something that we’re really excited about when you talk about store of the future. But the last thing I would just tell you about protecting the business and how we’ve done a really good job. If you really study our furniture business, as an example, and including floor furniture for that matter which is a whole different animal when it comes to why we are strong there. But indoor furniture, our guys are very, very good at working with suppliers. So as an example, we carry the big brand that starts with an S in mattresses, and they work with us. We have topped the tops every quarter, the CEO sits in here with me, and the team we’re razor focused on how to grow that business. And all of our mattresses they build are all, as you know, first quality but there are alone they are all special makers. So those mattresses are ours. And the price points that we’re playing whether its $399 or $599 in some of those categories is significantly lower than, let’s say, a specialty large mattress company we carry. So where we a sweet spot on pricing it’s the same thing on upholstery where our price points on sofas as well and recliners -- I mean it’s very hard to find some national player that I can say we’re in the same price point as Big Lots because they’re not. So when you go shop all these guys, including the online guys, we’re still at a sweet spot that they’re not in. So we feel very confident that we’re going to be able to continue the comp the comp in there for years to come by virtue of how we focus on it and also how we position in for store of the future as well. So hopefully that helps you understand because when you look at, like I said earlier that, we sold $1, 000 Patio set this year for the first time at that price point. And the differentiator with us is for the outer side of the furniture and why we do so well there, not only we have a great team, a great buyer who the folks in China think he is the best from all of the people who carry Patio in the United States of America would say it’s a pretty powerful statement. We display everything and not everybody does. So all of those things – and I just stay razor focused on them, Paul, and the team does too and it’s working, and we think it will continue.
Paul Trussell: And just very quickly follow up, just curious on your thoughts on this since it is the topic of discussion. Our consumer finance and credit card analysts here has kind of suggested that there is a few data points that suggest the lower income consumer have tapped quite a bit of debt and may need to de-lever a bit before resuming big ticket purchases and borrowing. Do you see any evidence of this and generally speaking how do you feel about your core consumers’ health?
Tim Johnson: I’ll take that one Paul. I did say the report that your person put out, I thought it was well done and easy to understand. What I don’t see is trends of that impacting our business. So while I understand it and while it might apply the other forms of retail or just general marketplace, I’ll go back to the comment I made very early on. We’re seeing continued strength in our Easy Leasing program and its comp in the comp. We’re seeing consistent approval ratings in our Easy Leasing program, so that doesn’t necessarily suggest that our partners at Progressive from a risk standpoint are seeing risk in our consumer base. We’re seeing nice growth in our private label credit card program, and also consistency and approval ratings there as well. So I can only go on the data points that we have available to us. And again, we’re not making the credit decisions on either of these programs and we’re certainly not carrying the credit risk. But penetration and growth in these two forms of financing and approval ratings, I think suggest that we’re not seeing that same trend in our business currently; maybe more laggard, maybe it comes later, I’m not sure. I can’t forecast that. I can only focus on what we’re seeing in current results.
Operator: And we’ll go next to Sean Kras with Barclays.
Sean Kras: I have a follow-up to an earlier question, because I would think that competitor store closures would probably be a headwind in the short term as inventories markdown. Although, longer term tailwind probably. Would you agree that that’s fair?
David Campisi: I guess I’ll answer part of that, Sean. I continue to say it’s really hard to tell. One of our Board members made a comment yesterday about a space that I very familiar with that, in that bankruptcy last year, which pretty significant. And then obviously the going out of business sales had an impact on the guys that are still in that business. But I mean you probably can look at that quarter that just came out last week or the week before, and you’re 18 months past that time period almost, or at least a year. And you got a much of other guys in that space that went under as well. And it appears that either February impacted that business or we’re just not getting the love they thought they would get. So I don’t want to get ahead of my skies or whatever your word you want to use to say that. I think after they liquidate all this inventory that suddenly we’re going to get the benefit of those stores closing. But I’ll knock on wood right now, and say God bless. I’d love to get that. I just don’t know how to put a number to it. I guess logically to your point, you would think somebody is going to get it well, maybe just its spread out. Maybe just talk about just like February with Furniture used to happen to me all time with apparel. If you had bad weather in the summer or really warm weather in the winter, you just never got it back. I mean, can ever explain that phenomenon. But it’s definitely something that the team we talk about it almost every week that we certainly our whole thing that we do get some benefit from those store close. TJ, I don’t know if you want…
Tim Johnson: Yes, I mean, your characterization is certainly fair. If we have a Big Lots store next to a store that closes, the liquidation period probably doesn’t help our business. And then our business, it is going to get any benefit comes after the stores formally closed. I think, well I know, I don’t think. I know our team is in is looking at it store-by-store. We’ve got all the store closing locations. We’re monitoring it. It’s not as clean as every store closing at the same time, either which further complicates it. So it does have a longer tail, but we need to look at and understand and we’ll continue to do that. I think the important thing is, to David’s point, we’re not running our business based on it. We’re not out purchasing additional inventory as a result of it. We’re taking on additional liability as a result of it and we just think to increase sell through existing product and prior probably driver higher margins if it were to occur and move it react more long-term. But I go back to what I mentioned in one of the previous questions to one of the pieces that I can see and touch and feel is as these stores close, the pipeline from a real estate perspective gets a little bit healthier; that I can see and touch and measure and hopefully that has a positive impact, probably not this year but on into ’18 and ’19.
Sean Kras: And David, in the past, you’ve said that you don’t believe Big Lots is getting recognition from Jennifer for the various improvements in store and evolution of the brand. So I’m wondering if you could talk maybe about how you’re communicating with a little bit differently this year.
David Campisi: Well, that’s what this whole brand identify work that’s being going on for the last six or eight months, Sean, that’s sitting here in front me that you guys will see in September if you come out the Columbus. And what we learn is amazing amount of things about her. And the reason we wanted to go after brand identify was to clearly understand why she is not recognizing. And when I say she, Jennifer, that’s our Jennifer that’s shopping she has given us credit for what we’re doing. Obviously, when you look at the Ownable category, she definitely loves we’re doing and Soft Home continue to perform consistently for the last 36 or I should say the last three years. But it’s really the extra hit the other Jennifer’s that stopped shopping Big Lots probably before I even came to Big Lots, because as you all know, we were store full of stuff but no point of view. And today that’s different. So this brand identity, store of the future thing, is all about winning her back and also creating an amazing shopping experience for existing Jennifer’s. And so it’s a combination of all of that. I think if you guys, if you come out you’re going to see something that you’re going to walk away going wow, I mean a big wow. It’s a lot of work that we’ve done and there is a lot more coming we’ve made some changes in marketing and we think we’re going to have a different media buy coming our way for the back half of this year. And we’re excited about the new team that’s on board there the third party. And we continue to do things that we think because of our size, we’re moving with speed and a sense. And even though we’re a big test for the organization .We’re getting things done and it’s hard for me to explain brand identity on the phone. And you know TJ is jumping at the bit over there, he wants to add to this. But it is something that we just obviously came off of a two day board meeting and everybody is really excited, because what we’re going to do here is not being done, pretty much all I can say. TJ, do you want to add to that at all?
Tim Johnson: No, I think you hit it okay.
David Campisi: Does that answer your question, Sean?
Sean Kras: Guys, I guess, we’ll get more details in September. So I’m looking at…
David Campisi: You’ll get a lot more detail, yes.
Sean Kras: Okay, appreciate it.
Andy Regrut: Okay. Thank you everyone. Eric, will you please close the call with replay instructions?